Operator: Welcome to Leidos Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference over to your first speaker, Stuart Davis from Investor Relations. Stuart, you may begin.
Stuart Davis: Thank you, and good morning, everyone. Joining me on today's earnings conference call are CEO, Tom Bell; and CFO, Chris Cage. Today's call is being webcast on the Investor Relations portion of our website, where you can find the earnings press release and the presentation slides for today's call. As shown on Slide 2, our discussion today will contain forward-looking statements based on the environment as we currently see it and thus includes risks and uncertainties. Our press release contains more information on the specific risk factors that could cause actual results to differ materially from anticipated results. Turning to Slide 3. We'll also discuss both GAAP and non-GAAP financial measures. In today's press release and presentation slides contain a reconciliation between the two. And now let me turn the call over to Tom, who will begin on Slide 4.
Thomas Bell: Thank you, Stuart, and welcome, everyone. Today, I'm pleased to report another excellent quarter of performance for Leidos, including top line growth of 7%, adjusted EBITDA margin of 13.8% and operating cash flow of $711 million. So far in 2025, we've grown revenue 5%, grown EBITDA 13% and grown EPS 18%. These strong results enable us to raise guidance for 2025, marking our second guidance raise of the year. And we've been able to deliver these results despite the headwinds of DOGE earlier in the year, and the current government shutdown. Even through the dynamic market environment of 2025, we've been able to achieve improving strong performance. Regarding the current government shutdown, most of our programs have not been impacted. I see 3 primary reasons for this fact. Our programs are considered mission essential by our customer. They are funded or they are beyond the scope of discretionary budgets. This, in turn, reflects our business' ongoing alignment to true enduring customer needs, current administration priorities and our ability to thrive in a business environment that rewards outcome-based contracting. Our portfolio matches the moment with solutions that speak directly to many top priorities: Golden Dome, air traffic control modernization, border security, service to veterans, maritime, autonomy, et cetera. We have the products and services that match our nation's ongoing needs. And we are accelerating our business pace today, responding to our customers' desire to work with firms that invest in innovation, can deliver real outcomes quickly, have a proven track record of lowering costs and know how to deliver on time and on cost. Our improved financial performance over the past 2 years has enabled us to turbocharge our investments in our Leidos Golden Bolts. We're accelerating our focus on creating new solutions to vexing problems in areas ranging from air travel to rural health. Our customers' missions have always been our central focus. The founding motivation for Leidos over a decade ago was to shed advisory work to focus on real mission performance. And with Leidos' expanded position in defense tech, we're focused on getting innovative solutions into the hands of war fighters in areas like counter UAS, low-cost cruise missiles, hypersonics and autonomous maritime vessels. Leidos' core business model is to make our customers' outcomes smarter and more efficient. We're always working in every program to deploy technology to drive down costs for our customers. For example, this quarter, we rewon a $0.5 billion counterterrorism contract, a contract that had never been reawarded to an incumbent in large part because of our introduction of automation and AI to deliver smarter customer outcomes. And we continue to demonstrate to our customers our ability to perform for them on outcome-based contracts. An example about this -- about which we are very proud is our having delivered on time and under budget the very complex electronic health record system for the Department of War. This performance is a direct reflection of our commitment to a promises made, promises kept culture in action. Our NorthStar 2030 strategy is now firmly in place in guiding all our actions. With growth pillars that tightly align to our customers' priorities we are building momentum to drive accelerated growth through 2026 and into the future. As you will recall, our 5 NorthStar 2030 strategy growth pillars are: Space and maritime, energy infrastructure, digital modernization and cyber, mission software and managed health services. On our past 2 quarterly earnings calls, I've highlighted elements of 2 of these pillars, cyber in Q1, and maritime in Q2. Today, I'd like to highlight our energy infrastructure growth pillar. For more than 2 decades, Leidos has provided world-class engineering services for commercial electric utilities. The services we provide typically involve the design and placement of high-power transmission lines, electric substations and/or electric distribution infrastructure. And over the past 7 years, this business has grown by double-digit CAGRs while also delivering double-digit margins. It now represents more than $600 million worth of Leidos' annual revenues. As you will no doubt know, the United States is amid a sustained robust investment posture in its energy infrastructure. Electric utilities are aggressively expanding the grid to meet growing demand from electrification, reindustrialization and data center growth. At the same time, they are also investing to improve the grid's reliability and resilience against extreme weather events. Following a record investment level in 2024, U.S. utilities plan to invest well over $1 trillion in this area over the next decade, and we are prepared to help. Leidos proprietary engineering and design tools arm our power engineers with the latest data and tools. This ensures they are always the most efficient and effective engineers in the market. One such tool our engineers use is our proprietary software product, Skywire, powered by Leidos Trusted Mission AI that makes every step of the design process smarter, more efficient and more effective for our customers. Simply put, Leidos' Skywire is an AI platform that revolutionizes the efficiency of distribution system engineering. Over the past 12 months, Skywire has been used to optimize some 18,000 projects for 25 major utilities. And we're now extending the use of this AI technology across the entire value chain from distribution to transmission to create a smarter, safer and more secure grid. Reduction of project costs enabled by Skywire of 30% is routine. And as we expand the use of these solutions across all of our programs, we're seeing powerful lift in our commercial success. We've increased revenue on more than half of our top accounts by some 50%. In addition to Leidos' AI Golden Bolt deployment in this market, we're also deploying other all of Leidos capabilities to the energy market. We're currently proving out the use of advanced analytics in drone fleets to provide real-time grid damage intelligence. Utilities spend billions annually on this need. And through our products and tools, we see opportunity to radically accelerate storm recovery for millions of Americans. We've helped the key customer in the energy sector successfully migrate their mission-critical software applications to the cloud, a long-standing core Leidos competency. And we're investing in deploying AI-assisted defensive cyber solutions to protect our customers' grids from cyber attacks. In addition, we're also on the cutting edge of helping our nation expand our power generation means. We're collaborating with small modular and microreactor OEMs to prototype nuclear reactors for a secure military-grade sources of energy as our team leans into this exciting model for energy resilience in America. So the energy infrastructure pillar of NorthStar 2030 represents a focused robust area of growth for Leidos, our innovative technology offerings differentiate us in a rapidly growing market, and we see multiple channels by which we can grow this line of business for Leidos. Now turning to other aspects of the business. On Golden Dome, the Department of War is finalizing that program's reference architecture and is evaluating proposals for the $150 billion SHIELD IDIQ procurement. We're very much in the mix here, and we expect vigorous government reengagement on this subject later this month. In the meantime, we're having healthy customer conversations about unique Leidos capabilities that could have a critical role in Golden Dome such as interceptor modernization and advanced radar surveillance systems. On air traffic control modernization, the FAA is currently evaluating bids for the prime integrator role, which we no bid due to conflict of interest stipulations contained in that solicitation. Our focus remains where we see our greatest value add, perpetuation of our position in the development of key systems and technologies that are central to delivering our next-generation air traffic control system. And at the same time, we continue to move out with the FAA to enhance the current system in ways that are aligned to their future blueprint. On airport security modernization, we, along with our TSA customer, are executing a pilot program at the Houston and Sacramento airports to demonstrate the viability and scalability for smarter, safer and more efficient checkpoint operations. Our demonstrated approach includes digitized checkpoints, remote baggage screening and cybersecurity hardening. And on border security, Customs and Border Protection is moving out quickly to bolster non-intrusive inspection at the border as provided for in the reconciliation law. We've received an order for 24 of our mobile VACIS systems that will deliver very quickly over the coming months. This progress and pace is reflected in our current bookings tempo. We had a 27% sequential increase in funded backlog, one of the largest in our history, which tells me that our customers are moving out to accomplish missions with pace. Also, as part of our 1.3x book-to-bill ratio this quarter, we were awarded an extension to one of our core franchise programs to enhance and sustain the MHS GENESIS Electronic Health Record for the Department of War. We are expanding our contribution under an asset contract to support the ARTEMIS program in long-duration space exploration. And we received a large award to modernize Kazakhstan's air traffic control system using our Skyline X comprehensive air traffic management system. We are optimistic about our near-term growth prospects given our $69 billion pipeline of near-term opportunities, which includes $24 billion of bids awaiting adjudication. Regarding capital deployment, this quarter, we repurchased another $100 million worth of shares on the open market, and we accelerated payoff of $450 million on our term loan. We have also increased our quarterly dividend. This marks our third dividend increase in 3 years. Shareholders of record on December 15 will receive a dividend of $0.43 per share, a 7.5% increase over our past dividend. This speaks to our ongoing conviction regarding the earnings and cash generation potential of our business. In addition, given our sharpened strategic focus through our NorthStar 2030 strategy, I'm pleased that we recently completed the divestiture of Varec, a noncore legacy energy asset, acquired in 2006, the disposition of this asset will allow both Leidos and Varec to advance their respective missions and best maximize long-term value. Our strong balance sheet position and powerful free cash flow gives us multiple pathways to continue to grow shareholder value. Consistent with our NorthStar 2030 strategy, we will continue to accelerate investments in our growth pillars while we also opportunistically return capital to shareholders. I'm very pleased that our ongoing 2025 strong performance allows us to, again, improve guidance, reaffirming our guidance on revenue and cash while increasing our guidance on EBITDA and EPS. Now before I pass the call over to Chris, I wanted to take a moment to give a special shout out to our 47,000-plus Leidoceans that in a year of profound challenges have shown incredible resilience and focus. Their brilliance has been essential to our success. And the momentum we are building through this, our strategic pivot year, is a testament to their commitment to our customers and their missions. I am truly excited about what lies ahead for this team. So with that, over to you, Chris.
Chris Cage: Thank you, Tom, and thank you, everyone, for joining us today. With another quarter of strong financial performance on the books, Leidos is demonstrating its ability to navigate complex market dynamics while delivering mission success for our customers, growth opportunities for our employees and financial rewards for our shareholders. Though we take pride as a team in what we've accomplished, we remain focused on finishing out 2025 strong and setting a path for a successful 2026. As Tom indicated, the shutdown impact so far has been modest, and we remain confident in our ability to thrive in the missions we serve despite any near-term uncertainty. With that, let's take a closer look at our third quarter results, starting with the income statement on Slide 5. Revenues were $4.47 billion, up 7% in total and 6% organically year-over-year. Our positive momentum enabled us to overcome the moderate headwinds from ongoing government efficiency reviews to post sequential growth of 5%, our best sequential third quarter since coming out of the pandemic in 2020. Each segment improved sequentially with especially robust growth in National Security and Digital and Defense Systems. Bottom line performance remains strong through consistent program execution, AI-driven cost efficiencies and overall prudent cost management. Even as we stepped up growth investments as discussed on the Q2 call, and increased legal reserves by $24 million, we still generated $616 million in adjusted EBITDA for the quarter, up 3% year-over-year for an adjusted EBITDA margin of 13.8%. Non-GAAP diluted EPS grew 4% to $3.05 as a lower share count more than offset slightly higher interest expense and tax rate. Digging a little deeper, let's now turn to the segment drivers on Slide 6. National Security and Digital revenues increased 8% year-over-year, with 7% coming organically. Record revenue growth was driven by recent contract awards and increased volumes for defense IT and mission support for intelligence customers. The multibillion-dollar classified award this quarter is ramping on plan and will provide healthy growth for several quarters. We also generated $26 million in revenues at attractive margins from the acquisition of Kudu Dynamics. This marks the first full quarter of contribution from Kudu, and we're focused on integrating quickly and unlocking new growth vectors. Non-GAAP operating income margin decreased modestly from 10.5% in the prior year quarter to 10%. Margins in the low to mid 10s is the right near-term ZIP code for National Security and Digital business. Health & Civil revenues increased 6% year-over-year with an uptick on our large infrastructure operations programs as well as continued high volumes within the managed health services business. Medical disability exam volumes helped drive record non-GAAP operating income margin of 25.7%, along with some nonrecurring items across the portfolio, including a prior period incentive award pickup and equitable cost adjustment and an EAC pickup tied to successful deployment of a key fixed price program. Commercial & International revenues were essentially flat and non-GAAP operating margin of 8.1% was down 70 basis points on a year-over-year basis. The Security Products business moderately pressured both revenue and fee as product deliveries shifted into Q4, and we increased investments to accelerate our AI deployment. The energy infrastructure business that Tom highlighted once again led the sector in growth and profitability. Lastly, in Defense Systems, again, is one of our strongest performing segments, growing 11% year-over-year, its seventh consecutive period of high single to low double-digit growth. Growth was paced by increased volumes in Integrated Air Defense, including the indirect fires protection capability Increment 2 system and multiple radar surveillance systems as well as the small glide munitions and hypersonic missile programs. Bottom line performance was consistent with our expectations, with non-GAAP operating margins of 8.9%. This level of profitability is the result of a higher mix of materials in the initial phases of production on multiple programs as well as increased investments to pursue large opportunities like Golden Dome and maritime autonomy. We're still progressing towards sustainable double-digit profitability in Defense Systems. Turning to cash flow and the balance sheet on Slide 7. In the quarter, we generated $711 million of cash flows from operating activities and $680 million of free cash flow for a free cash flow conversion ratio of 171%. Q3 was a phenomenal collections quarter as the government prioritized disbursements at the end of their fiscal year, and we aggressively manage working capital, improved DSO by 2 days and began to deduct some previously capitalized R&D costs. After the $450 million debt paydown and $100 million share repurchase, we ended the quarter with $4.7 billion of debt for a gross leverage ratio of 2x, and $974 million in cash and cash equivalents. Importantly, we'll now have no debt principal payments due until 2028. And even with the increased dividend, our capital commitment is not changing materially given aggressive share repurchases over the past 2 years. Our strong balance sheet stands as a key tool to unlock shareholder value through capital investments to drive growth, strategic M&A to accelerate our growth pillars in opportunistic share repurchases. Finally, on to the forward outlook on Slide 8. Based on our robust performance year-to-date and confidence in our positioning, we're enhancing our 2025 outlook. Consistent with Tom's remarks, we're reaffirming our revenue guidance of $17 billion to $17.25 billion, raising our adjusted EBITDA margin guidance from mid-13s to high 13s, raising our non-GAAP diluted EPS guidance by $0.30 at the midpoint for a new range of $11.45 to $11.75, and we're reaffirming our operating cash flow guidance of approximately $1.65 billion. Let me provide a little perspective on the guidance. First, with the quarter to go, we left wider ranges around revenue and EPS than usual, a proactive hedge against a less predictable government environment. Second, our team and our diverse portfolio are proving to be exceedingly agile. We've been able to absorb top line hits that could approach 3%, and split nearly equally across government efficiency imperatives and the potential for up to a 3-month shutdown and still slightly improved revenue guidance over the year. Third, we are full steam ahead on funding key investments in the fourth quarter, deepening our conviction in a mission-driven, technology-enabled and inherently profitable future. And fourth, cash flow is a metric that is most impacted by the current environment. We expect all of the additional earnings from the raised guidance to convert to free cash flow, but the timing is uncertain in this environment. With that, operator, we're ready to take questions.
Operator: [Operator Instructions] The first question comes from the line of Ken Herbert with RBC.
Kenneth Herbert: Nice results. Chris or Tom, I maybe just wanted to start on the balance sheet. You've done a really good job with the cash flow in the quarter and getting leverage down. You just called out the organic growth investments, some select M&A and other opportunities or priorities. Specifically, how do we think about M&A in this environment? How are you thinking about it? And where are you focused in terms of specific opportunities? And what's the potential that you maybe look to accelerate the pace of acquisitions here?
Thomas Bell: Yes. Thanks, Ken. Yes, as we've tried to be consistent throughout, we'll always have a shareholder-friendly view of our capital deployment. And so while we didn't have a strategy for Leidos per se, we were very focused on share repurchases and capital deployment, investing in our growth strategies organically. As exemplified by the Kudu acquisition that we announced last quarter, now that we have a very defined growth strategy, NorthStar 2030, with specific growth areas where we know markets are growing, we can be profitable, and we see very good opportunities for us to grow Leidos top line and bottom line. We are now focusing on that a little bit more. That's not to say that it's a swing to all inorganic, it's just that now inorganic will be more a part of the playbook now that we've got a defined set of areas where we're willing to play. We'll continue to be judicious. We'll continue to be very prudent. We are focused on a holistic approach to the capital deployment, and we're always going to have the hurdle rates and shareholder value first in mind for how we deploy capital. So whether that's internal, external or share buybacks or dividend increases, we're going to have the same type of a lens.
Operator: Our next question coming from the line of Sheila Kahyaoglu with Jefferies.
Sheila Kahyaoglu: Congratulations on great results. Maybe if we could talk about Defense Systems because it was one of the highest growers in the portfolio. How do you think about the growth within that segment and just moving past DOGE and potential like issues with civil customers as we've seen from a recent competitor, how does that impact your portfolio?
Thomas Bell: Thanks, Sheila, and appreciate the question. Yes, we're very, very proud of our Defense Systems business and frankly, I'm happy to highlight some of the opportunities that we see that we're leveraging in that business. We're tracking about 10 different franchise programs that we expect to deliver about $15 billion in potential value over the next 5 years. These are programs like air and base defense systems, counter-UAS systems, hypersonic missiles, our black arrow small cruise missile that you may have read about in the press or heard about and nonkinetic effects for counter UAS areas. Also in defense, as we discussed last quarter, we have our maritime area, where we're very bullish on our opportunity to help this administration increase the size and lethality of the U.S. Navy. And I'm very proud that both in Australia and the U.K., we have corollary unmanned autonomous vehicle programs that have synergy with what we're doing here in the U.S. So all in all, we see a tremendous pivot for our defense business from heavy in the R&D and heavy in the seed corn, if you will, and now really pivoting to LRIP and programs of record, which has always been our plan since we acquired our defense tech business some years ago. With that, Chris, do you want to talk a little bit about the shutdown?
Chris Cage: Yes, sure, Sheila. Obviously, it's been a year where we've had to overcome a lot of twists and turns. And specific to your question around our Fedserv portfolio, actually, I think it's proving to be quite resilient. Our teams have been able to execute in this environment, exceedingly agile -- in an agile way. And it's mostly impacted our DigiMod business, but we still were able to deliver double-digit -- I'm sorry, mid-single-digit growth in our -- in that area in Q3 and on a year-to-date basis. And so that's through driving more IT efficiencies for our customers and on-contract growth. And you look beyond that, you see that of the missions we perform for our veterans benefits administration are mission essential. And those areas, the demand continues to be very robust. And obviously, our FAA business, we're seeing that we're a central part of the programs we're performing on today and hopefully a big part of the future there, too. So our portfolio is very well insulated, and we'll continue to be nimble there, but it's been holding up quite nicely in this environment.
Operator: Our next question comes from the line of Peter Arment with Baird.
Peter Arment: Tom, Chris, nice results. Chris, could you talk a little bit about, you've done a great job guys expanding margins in the Health & Civil segment. Just kind of the sustainability. Obviously, the record examinations volume, obviously, being a part of that all, but just how do you think about the business just sustaining these levels going forward?
Chris Cage: Yes. Sure thing, Peter. I mean, again, the team has been knocking it out of the park there. And it's the portfolio that we have differentiated ourselves through innovation and investment -- ongoing investment around the quality and the efficiency of care, timeliness, all of the key metrics to customers really prioritizing. So we've been able to stay ahead of that curve, and we're certainly aware that as they're expanding capacity with other vendors in that environment, we like how we're positioned to sustain a very robust piece of that action. And the team is looking beyond just what's going on in the VBA business. Obviously, we're focused on our growth pillar there, expanding into rural and behavioral health care in other areas, and there's a very robust set of opportunities as we're looking at funding and the federal and state levels through CMS that we're looking to figure out how we can help those customers expand and meet their needs around exam delivery, telehealth, et cetera. So this team, I wouldn't bet against them. They've performed time and again, and we have given ourselves the opportunity to really turbocharge the investments in AI and innovation to ensure that we can meet that mission head on and deliver robust margins into the future.
Thomas Bell: Yes. And Peter, if you don't mind, I'm going to pile on here just to give a little shout out to our customer. This administration has made it a focus to serve our nation's veterans and to work down the backlog of health exams that our veterans need to access the benefits that they deserve. And because we've been investing in this business for years, we have the capacity to serve that need. But we are not stopping there. We're very focused on the insertion of technology into this business so that exams are better, faster, cheaper, and we do it in a way that we can sustain this level of business and profitability for years to come. So we're very bullish on leaning into this environment and continuing to have a very robust Health & Civil business as a part of the Leidos portfolio.
Operator: Our next question comes from Tobey Sommer with Truist.
Tobey Sommer: I wondered if we could get your view of your submitted bid expectations for next year. I know we're in a shutdown and so forth, but if you could compare and contrast the amount of bids that you're submitting this year and give us an indication for what growth might look like in those numbers as we get into '26?
Thomas Bell: Yes. So as we discussed on the call, Tobey, we are very happy with the volume of business that is in our pipeline. We've got, as we said, $69 billion of near-term efforts that we are tracking and that are in the pipeline that we plan to submit against, and $24 billion that is already submitted and just awaiting adjudication. We're seeing a little slowdown in customer decisions in that pipeline because of the government shutdown. However, we expect as soon as the government shutdown ends, customers are going to return to the workplace and get after those decisions. So we think orders could pick up and pace very dramatically even in this quarter. But certainly, there will be some lag into next year. So I expect next year to be a big book-to-bill year and a big business development effort with a whole suite of products and services across the whole of Leidos, whether that's FAA or TSA or Department of Homeland Security or the DoD, in the Department of State, everywhere we look we see a buildup, almost a bow wave of needs and opportunities for us to pursue. And our business development team is very actively pursuing them.
Chris Cage: Yes, Tobey, I'd add, I mean, obviously, early in the year, we had to pivot because there were some things that we were pursuing that got reprioritized by the customer. But since that time, as Tom just talked about, momentum has been building, the activity level has been elevated. And we expect next year to have a submittal year that exceeds this year overall. That's the goal in the plan. And it's a nice mix of -- there are some recompetes out there that we're chasing, of course, but a lot of new work. And with the backdrop against a set of win rates that have continued to hold up quite well, we're very pleased with where those are. It's a good recipe for success.
Operator: Our next question comes from the line of Jonathan Siegmann with Stifel.
Jonathan Siegmann: Just the health side on the medical exam has been a real nice source of strength. Just can you give us an early preview of how you're thinking about how that holds up next year? And any kind of changes you see in today's environment possibly impacting that positively or negatively?
Chris Cage: Jonathan, so again, the trends have been strong there, of course. And the customer -- I mean, the administration really had a focus on driving down the backlog of aged claims, and we've been slowly chipping away at that all year. The trends are good, but we're not at that goal. So the demand signal we think will remain elevated. You may be tracking again that they did introduce a fourth provider in some of the regions, and we're well aware of that. So that's an area that -- you have to stay ahead of the competition through innovation and technology, great performance, good customer satisfaction, and we'll continue to prioritize those things. So I'd say, next year is a year that it'd be difficult to add to the capacity that we're seeing right now given that fourth vendor, but sustaining the levels of performance is our expectation and then building off of that by expanding into these other areas that are part of our managed health services platform. So the exam business is in great shape. We're already looking ahead to the follow-on, the recompete that happens at the end of 2026. So the team has been shaping towards that for ever since the last contract was awarded. So we're prioritizing this as a really important part of our business, and we're in a great spot.
Operator: Our next question comes from Gavin Parsons with UBS.
Gavin Parsons: First, I would just love to clarify what you're assuming for the shutdown impact in 4Q? And then second, would love to just hear a little bit more on where you're focusing investment and how we see that come through the financials?
Thomas Bell: Yes. Sure, Gavin. Before I turn it over to Chris to go over the specifics of our guidance and what we're assuming on shutdown, I really do want to foot stop the thanks to the Leidoceans who have been leaning into this environment. And it is no small feet that we've been able to overcome the shutdown and DOGE headwinds of 2025 almost holistically. I mean, again, just to put it in perspective, this is our second guidance raise for the year. And we've been able to hold our revenue guidance throughout. That is directly to the spirit of our Leidos teams that have been working to offset programs that have been canceled or curtailed and work for on-contract growth and other wins in other places to make sure that we continue to serve our customers and our communities. So a real big shout out to the team that has been so resilient through the year and a real testament to the diversity of the Leidos portfolio. It's not that we are a one-trick pony, and we're totally beholden to one type of business that has been more affected by DOGE and the shutdown, we're very diverse, and therefore, we have the opportunity to lean on other aspects of the portfolio as the year unfolds. Chris, do you want to underscore the guidance?
Chris Cage: Sure. Thanks, Gavin. So Gavin, as we said in our prepared remarks, we left a little wider ranges because of the uncertainty in the environment. We're obviously all hopeful that the shutdown comes to an end here quickly. And I think if that were to be the case, you would see us trending towards the higher end of the guidance ranges that we put out for EPS and revenue. But we left a little bit wider range to accommodate the risk that it extends towards the end of the year. I don't expect that to be the case, but there's always that potential. And the one area that, again, probably the least direct control over is cash. If the shutdown goes longer, even if it ends here in the -- late in the fourth quarter, there's always risk that some of the collections do leak into 2026. It will all show up in time, but that's why we didn't change our cash guidance at this point in time. So I think we've accommodated a variety of outcomes. We're hopeful that those more extreme situations aren't in play and that we're able to get back to ordinary course of business here quickly. Regarding technology, yes. I mean, we've stepped up technology. Being in this position, having built the capacity in the business with such high margins and great returns has afforded us the ability and it's perfect timing because this environment, the customer is looking for proven solutions to deploy. And so we've been able to lean into investing in prototypes and different kinds of technology and capacity for example, in our Huntsville facilities to meet the moment as it relates to expanding the programs that Tom talked about. Obviously, AI investments are central to a lot of that too. But you're seeing that proliferated across a variety of our business segments in a number of areas, we call it our innovation fund where Leidos is putting a lot of its own resources, not company R&D -- funded R&D into this. And I think those things will really allow us to hit the ground running into '26 on an accelerated basis.
Operator: Our next question comes from Seth Seifman with JPMorgan.
Seth Seifman: Just to clarify a little bit more on that last question. When we think about the programs that you're talking about moving from R&D towards production, the capital investment, the capacity to ramp up on the types of opportunities that you're talking about that all exists already. And I guess related to that, it looks like this year is probably going to underrun, to some degree, the CapEx forecast that we had back at the beginning of the year. Do we think about that as reflecting some investments that may move to future periods? Or was the initial outlook just a little bit conservative?
Thomas Bell: Yes. Thanks for the question. The -- yes, the majority of the CapEx we need to facilitize for the production programs I mentioned has been made. And at the same time, I do want to say that we've given a little bit more freedom to our defense tech business to make sure they have the resources necessary to continue to facilitize for the customer pull. We're in a very unique situation where this administration is very focused on lethality for select products and solutions. We meet the moment with our defense business that has very, very specific lethal production programs that are meeting the moment for base defense, counter UAS, small cruise missiles and the like. And so we're going to be a little bit more comfortable with a higher CapEx rate in our defense business, but on the whole of Leidos keeping that within CapEx expenditures that you, our investors, have grown accustomed to. So on balance, again, leveraging the portfolio and making sure that we use the portfolio as a strength, we can invest a little bit more in our defense business, while we don't have to invest the same amount of CapEx in other parts of the business. Chris, anything you would add?
Chris Cage: Well, and Seth, I mean, to your comment, you're correct. I mean we have underspent the original expectations in '25 on CapEx. Some of that was just good, prudent management along the way. Some of that is expenditures we would have liked to have made, but there's been some delays in customer decisions that would drive the need for those investments, including what's going on with our airborne ISR business in Australia. So those are some things that could still take place here as we look into the early part of 2026, but all the while sitting in the affordability envelope that we've laid out for you guys over time. So I think we're in a great position there, have some capacity to step it up if the needs arise, but we'll certainly ensure that those incremental investments, we believe, are going to generate attractive returns for our shareholders.
Thomas Bell: Our next question comes from Colin Canfield with Cantor Fitzgerald.
Colin Canfield: When we think about kind of normalizing for shutdown results and the bridge from this year's mid-single-digit organic performance to next year. What are kind of some of the key puts and takes or contracts that you would flag as we think about the building blocks for mid-single-digit organic growth to potentially high single-digit organic growth next year?
Chris Cage: Yes. Colin, I think too early to lay out any specifics on 2026. We obviously have to see when the shutdown ends and how quickly things get back to the ordinary course of business. But as Tom laid out, I think you can expect to see our Defense Systems business leading the way as an area with a number of programs that could accelerate away and drive growth. Obviously, our energy infrastructure business that was highlighted today is an area that we expect to see strong growth momentum and going into 2026. We talked about our large award in the intelligence community this quarter that will be ramping going into next year. So there's several things that have momentum behind them, not to mention the additional opportunities that may emerge through Golden Dome funding and air traffic control and of course, border security. Juxtaposed against that, it has been a year of DOGE, and we've navigated that well. And there'll be some programs that ultimately trade out of the portfolio or have ended over the course of the year. We did sell a small business in Varec that you heard us talk about that's very modest. Think of that as a $40 million top line business. And then we're almost through all of the portfolio shaping we've spoken about in the past, specifically our Antarctic support program, and that will ultimately come out of the portfolio in 2026. So we're excited about the growth momentum and looking at a number of levers there. But to put all that into a framework on what the growth expectations are for '26 is just little premature for that.
Thomas Bell: A little context also, Colin, as we came out of DOGE and we started to gain traction on the One BBB Law, things like FAA, ATC modernization, Golden Dome, our border security opportunities and airport screening modernization, those were all areas that got tremendous traction. But then with the government shutdown, there's been a little hiatus there. And as I tried to suggest in my prepared remarks around Golden Dome, we expect as soon as this government shutdown is over, tremendous customer uptake and activity on all of these programs and more because the future is not waiting. So as soon as the government shutdown is over, we expect tremendous customer interaction to take place. The team is ready for it. We are excited about it. But exactly how those things will unfold and how those cards will come to play is something we're still calculating. And as we come out of the shutdown, we'll put together our '26 plan, and then we'll have something to talk to you about what we expect next year.
Operator: Our next question comes from Mariana Perez Mora with Bank of America.
Samantha Stiroh: This is Samantha Stiroh on for Mariana today. Could you just talk a little bit about your international business, where we are seeing some pockets of strength or some slowness?
Thomas Bell: Sure. Well, our international business is focused in Australia and the U.K., as you know. In each of those countries, we have a relatively large business and about 2,000 employees. We've got a leadership team in place in both of those countries that we're very proud of and very confident in. And they're both very aggressively figuring out how they expand their business in line with our NorthStar 2030 strategy. This is a point that I make internally all the time. Some people say, oh, international is not a growth area for Leidos, to which I answer, [ oh, contrary ]. We have a domestic homeland defense business in the U.K. and Australia and we have 5 growth pillars. And I am very confident and comfortable growing our international business in those 2 countries and maybe select other countries consistent with those growth pillars. That's the key. The growth pillars are the key to how we're going to grow Leidos regardless of what country or what Homeland you're discussing growing it in. So we're very bullish about growing our Australia and the U.K. business. We're going to be opportunistic elsewhere in the world, but not silly because our business is one where you have to be domiciled organic and local. You can't just parachute in and sell more products from a production line in the United States. And so international remains a part of our growth story, consistent with our NorthStar 2030 growth pillars. I hope that helps.
Operator: Our next question comes from the line of Scott Mikus with Melius Research.
Scott Mikus: Tom, you talked about the franchise program opportunities at your Defense Tech business, and we've seen a lot of defense tech companies raise capital at lofty valuations that don't have the track record of Dynetics. So does it make sense to potentially explore spinning off Dynetics given that it might attract a higher valuation outside of the broader Leidos portfolio?
Thomas Bell: I think the corollary is also true, where we have a golden jewel in our Dynetics and Defense Tech business that as people and analysts get more comfortable with and they see the fact that we're stake, not just sizzle. They're going to start to value Leidos on the whole a little bit more robustly. So I'm looking at it at the other side of the straw, if you will, that says, I've got this wonderful asset. It's called Leidos Dynetics in Huntsville, Alabama. We're growing a business around it because we have a defense tech business that is more than just platforms, it's also mission systems. It's the ability to combine rapid prototyping and rapid fielding of platforms with the software and the smart and the mission systems that makes it effective for our war fighter. And that's the thing that these other people that are getting a lot of press can't do. They may be able to build products quickly and innovatively, but so can we. What we can do that they can't do is put the mission packages on them and make them relevant to the war fighter in the next years. And so I'm very excited about it. I have no plans to do anything, but invest in it and help sell the story that Leidos should be valued more because we have this crown jewel called Leidos Dynetics.
Operator: Our next question comes from Gautam Khanna with TD Securities.
Gautam Khanna: I was wondering if you could comment on recompetes next year. I know you mentioned the VBA contract. But if you could just call out what percentage of sales? And if there are any lumpier recompetes out there that we should be monitoring?
Chris Cage: Gautam, yes, sure. This is Chris. I probably can't put a percentage on it just yet. We're fine-tuning all of that '26 planning. But I can tell you, there's a couple more significant ones we're paying attention to. Our reserve health readiness program is a large one that we expect could be decided here in the fourth quarter. I referred to an Australian airborne program. That's one where there was an expanded scope opportunity there, but still a key recompete for our commercial international business. Those are two of the larger ones running through the list, I am just eyeballing here of anything else of consequence, we've got a CBP opportunity. But I'd say beyond those two, actually, it lines up to be a pretty nice year, more weighted towards new business and takeaways than recompetes. But of course, those critical franchises we're going to focus on, and we already have, putting our best foot forward on our proposals there.
Operator: And there are no further questions in the queue at this time. Ladies and gentlemen, this concludes today's conference call. Thank you for participating, and you may now disconnect.